Brendan Horgan: Thank you, and good morning, everyone, and welcome to the Ashtead Group Q1 Results Presentation. I'm speaking this morning from our London office, where I'm joined as usual by Michael Pratt and Will Shaw. Today's update will cover the ongoing strength in our performance through strong revenue growth and strong drop-through to profits. We continue to deliver on each of the five actionable components of our strategic growth plan, Sunbelt 3.0, the results of which will demonstrate strong momentum and leave us poised to realize further revenue and profit growth throughout the final year of 3.0 and beyond. Before we get into the detail on the quarter and our latest outlook, and end market views, I'll begin by thanking our Sunbelt team members throughout the business for their ongoing progression of our safety culture. Our business is on path to have our safest year yet in our facilities on the road, at our customer sites, all of which we celebrate, but not consider it our destination. As such, in early October, we'll be conducting our annual safety week. My ask is each and every one of our team members is to engage. Each of us will get out of safety, but we put into it. So let's go all in and take our world-class safety program and culture to the next level. So thank you for your efforts and commitment and keep leading safely and positively out there. Now let's begin the quarter highlights on Slide 3. We delivered a strong performance in the first quarter, contributing to another set of record results. Activity in our end markets remain strong, supporting healthy demand in our products and services and obvious signs of structural progression within the market and our industry persist. We continue to gain greater clarity through current demand levels present in the business, paired with the needs, backlogs and future project expectations we are gathering from our customers and the relevant end market forecast, all of which continues to support our view of ongoing structural gains in a strong end market into 2024 and beyond. For the quarter, group revenue and rental revenues increased 19% and 14%, respectively, while the U.S. revenue improved by 22% and rental revenue by 16%. Group PBT was up 11% and EPS grew 14%. I'm encouraged to report strong EBITDA fall-through in the U.S. business of 53% in the quarter despite the drag effects of our fast-paced expansion activity through greenfield openings and bolt-on acquisitions. During the period, we continued to advance our Sunbelt 3.0 strategic growth plan by executing on all of our capital allocation priorities, beginning with $1.1 billion in CapEx, which fueled our existing locations in greenfield additions with new rental fleet and delivery vehicles. We expanded our North American footprint by 40 locations with 24 through greenfield openings and a further 16 via bolt-on We invested $361 million on nine bolt-on acquisitions in an environment where the pipeline remains strong. Despite these investment levels, we remain near the bottom of our net debt-to-EBITDA leverage range at 1.6x. These activities demonstrate our confidence in the ongoing health of our end markets and the fundamental strength in our cash generating growth model. So the results market update and guidance we've published today are in short, more of the same, an affirmation of what we've been demonstrating insane for many quarters now. We have another quarter of performance in the business, project starts and increased clarity in the end market forecast. Given things are largely business as usual, and this is the first quarter will be reasonably brief. So let's move on to our outlook on Slide 4. Our rental revenue growth guidance remains largely unchanged. Our outlook for the U.S. is unchanged at 13% to 16% growth. Canada, based on our best guess for when the various strikes impacting the Film and TV space will end, still expects to deliver growth of 15% to 20%. And the UK, we've revised down to 6% to 9% growth as a result of some softening in the UK end markets. This combines for overall rental revenue guidance for the group unchanged at 13% to 16% growth. Consequently, our CapEx and free cash flow guidance for the full year remains the same. And on that note, I'll hand it over to Michael, who will cover the financials in more detail. Michael? 
Michael Pratt: Thanks Brendan and good morning. The group's results for the first quarter are shown on Slide 6. We started the year well with a strong first quarter and good momentum in the business. As a result, group rental revenue increased 14% on a constant currency basis. This growth was delivered with strong margins and EBITDA margin of 46% and an operating profit margin of 27%. After an interest expense of $118 million, which increased 77% compared with this time last year, reflecting both higher absolute debt levels, but more significantly the higher interest rate environment, adjusted pretax profit increased 11% to $615 million. Adjusted earnings per share were $1.075 for the quarter. Turning now to the businesses. Slide 7 shows the performance in the U.S. Rental revenue for the quarter grew by 16% over this year is -- over last year, which in turn was up 29% on the prior year. This has been driven by a combination of volume and rate improvement in strong end markets. The rate piece continues to be an important part of the equation given the increased costs we face, whether it be interest costs, as you saw on the previous slide or the impact of inflation on our cost base. The total revenue increase of 22% reflects higher levels of used equipment sales than last year. As we discussed in June, fleet landings are now more predictable and in line with our plans. Good fleet landings during the quarter and the fourth quarter of last year have enabled us to reduce physical utilization from the heavy levels we have seen over the last couple of years. We've taken advantage of this factor and a strong secondhand market to accelerate disposals from our older fleet planned for later in the year. However, one consequence of this is a drag on reported margins. Furthermore, in line with our 3.0 strategy, we opened 22 greenfields and added a further 12 locations through bolt-on acquisitions, which are also a drag on margins. So excluding greenfields and bolt-ons, same-store EBITDA margins increased year-over-year after the overall EBITDA margin when you exclude the impact from lower margin used equipment sales. All these factors contributed to a drop-through for the quarter of 53% and an EBITDA margin of 48%, while operating profit was $692 million at a 30% margin and ROI was a healthy 27%. Turning now to Canada on Slide 8. Rental revenue was 15% higher than a year ago at $183 million. The major part of our Canadian business is performing well as it takes advantage of its increasing scale and breadth of product offering as we expand our specialty businesses and look to build out our clusters in that market. In contrast, our Film and TV business has been impacted significantly by the strikes in the North American film and TV industry. This has also had some impact on the rest of the Canadian business given our success in cross-selling our more traditional rental product into the Film and TV space. Despite these challenges, Canada delivered an EBITDA margin of 44% and generated an operating profit of $40 million at a 19% margin, while ROI is 17%. Turning now to Slide 9. U.K. rental revenue was 1% higher than a year ago at GBP 150 million. This is the last quarter comparison that is affected by the work for the Department of Health as we completed the demobilization of the testing sites during the first quarter last year. The core business continues to perform well with rental revenue up 18%, excluding the Department of Health work as we continue to take market share. While we continue to make progress on rental rates, this has not kept pace with the inflationary environment in the U.K., which has impacted margins. As a result, the U.K. business delivered an EBITDA margin of 28% and generated an operating profit of GBP 16 million at a 9% margin and ROI was 7%. Slide 10 updates our debt position at the end of July. As expected, debt increased in the quarter as we actioned all components of our capital allocation policy, resulting in leverage of 1.6x net debt to EBITDA, excluding the impact of IFRS 16. Our expectation continues to be that we will operate within our target leverage range of 1.5x to 2x net debt to EBITDA, but most likely in the lower half of that range. A strong balance sheet gives us a competitive advantage and positions us well to optimize the structural growth opportunities available in our markets. Therefore, as shown on Slide 11, we accessed the debt markets in July in order to strengthen our balance sheet position further and ensure we have appropriate financial flexibility to take advantage of these opportunities. We issued $750 million of 10-year investment-grade debt at 5.95%. Following the notes issue, our debt facilities are committed for an average of six years at a weighted average cost of 5%. And with that, I'll hand back to Brendan.
A - Brendan Horgan: Thanks, Michael. We'll now move on to some operational color, beginning with the U.S. on Slide 13. The U.S. business delivered strong rental revenue growth in the quarter with General Tool and Specialty growing 14% and 17%, respectively. This growth is on top of very strong growth last year in Q1 of 23% in general tool and 39% in specialty. The strength of this performance remains very broad, extending through virtually all geographic regions and specialty business lines. Consistent with what others in the industry have been noting, time utilization is slightly below the record levels we experienced last year, albeit, still strong. This reflects some improvement in supply constraints and the fact we received a higher level of deliveries than normal out of season. A very, very important thing to understand is that we continued to progress rental rates during the first quarter at our planned level and pace. Despite this utilization movement, reflecting the ongoing positive rate dynamic in the industry, specifically the discipline and structural progress, attributes that we firmly believe are here to stay. Moving on to Slide 14. Let's cover the latest construction market trends and forecast. With another three months of construction starts and project continuations, I'll sound like a broken record. Despite macroeconomic concerns and the pressures that come with inflationary and interest rate realities, you'll see construction activity has proven to be incredibly resilient. In fact, historically strong in the most recent year and is forecasted to continue as such. These charts are broadly in line with those we shared in June, but it's worth noting that the put-in-place forecast on the top right, all edged upward from the previous forecast. As I've said before, this all makes clear that the nonresidential cycle has been considerably delinked from the residential cycle as a result of years of change in construction composition and the more recent reshoring or USD globalization and larger than ever before seen federal government spending acts, all contributing to the rise of an era of mega projects. Let's explore the drivers behind these forecasts on Slide 15. We introduced this slide in June, and I thought it would be useful to just touch on it here again. The drivers behind the recent level of unprecedented starts fall into three main categories with many projects being driven by more than one. To understand the current era of construction in the U.S., it's very important to put in context these drivers in terms of both the scale of circumstance and very likely long duration they exist. I'll free the detail recovered in June and rather ask you think of the material, constriction consequence of each. First, reverse at a multi-generation globalization of U.S. manufacturing and production to domestic on-shoring and reshoring; second, the role technology now plays in society, business and manufacturing, and by relation, making up a larger portion of the U.S. construction landscape; and three, legislative acts, three of them injecting 2 trillion of direct funding or stimulus amounting to a once in a lifetime trifecta of acts. Let's now look into the detail of one of the outputs of this group of drivers mega projects on Slide 16. Illustrated here is the U.S. mega project landscape, which will give you an appreciation for just how significant this market opportunity is. As a reminder, our internal definition of a mega project is one that has a cost of 400 million and above. We've included all projects meeting this definition where construction is either underway or planned to start by this coming April, 2024. When viewed on a map, one can't help but realize the geographic breadth and the sector depth of these projects. There are 501 projects underway, mega projects underway or soon to begin, ranging in size from 400 million to 17 billion, totaling 660 billion of projects funded by private and public sectors. As we've covered and demonstrated consistently, projects of this scale and sophistication require suppliers with relatable scale, but also expertise, experience, breadth of product and services, and the financial strength to meet the customers' needs. Make no mistake, some who it is performing very well in the sea of mega projects and will continue to do so. Let's now turn to our business units outside of the U.S., we'll begin with Sunbelt Canada on Slide 17. Our business in Canada continues to deliver strong growth and expansion as customers recognize the growing breadth of products and services that we offer. This growth is coming from existing general tool and specialty businesses, complemented by well-placed additions of greenfield openings and bolt-on acquisitions. The market conditions are not dissimilar to the U.S. in terms of activity and demand as we continue to experience strong performance from the utilization and rate improvement standpoint. Mike will touch on the financial impact of the writers and actors strike impacting our Film and TV business. Although there is no clear time, there is -- clear time line, there is some general thought that we could see a resolution, and we are in the business for the long term and fully expect a post-Covid style boon shortly after the strike. We will be the business who is most prepared to benefit when the inevitable end to this unfortunate short-term event comes. Helping to offset this impact is the June acquisition of Loue Froid, a leading provider of power and HVAC rental solutions with four locations across Canada and the base in Montreal. This added to our largest North American specialty business line and is a material step change to our capabilities offering throughout Canada. Further, this has given us a base presence in Quebec requisite for building out the market with our broader products and services. Turning to Sunbelt U.K. on Slide 18. The U.K. business performed strong in Q1 with rental-only revenue growth of 15%, particularly when considering a somewhat softer end market than previously anticipated, which has now been incorporated into our revenue growth outlook. The key to understanding in our positioning is Sunbelt's uniquely broad offering of general tool and specialty products and project service capabilities, which are unmatched in the U.K. Regardless of the somewhat softer end market conditions, the business improved rental rates 4% in Q1. As I flagged for several quarters now, an ongoing mandate for the U.K. business is to advance rental rates and the associated fees we charge to provide our customers the most modern fleet in the market and market-leading services. 4% is below the cost of general inflation and wage increases in our business and therefore, needs to be higher and our team is focused on delivering just that. Turning now to Slide 19. You'll see our normal Sunbelt 3.0 scorecard. I've covered the main points within the highlights, so I won't dwell on this other than to reiterate that we have added 40 locations in North America in the quarter and delivered on a 3.0 milestone, surpassing the target of 1,234 locations. So to conclude, let's turn to Slide 20. This has been another great quarter of profitable growth, location expansion and momentum in our business. We're experiencing strong demand from our product and services and gaining improved clarity to the strength of our end markets in 2023, 2024 and beyond, driven in part by the recent realities of U.S. onshoring, technology and manufacturing modernization and federal legislative acts. These actualities add to what was already a strong underlying level of end market activity, flush with day-to-day MRO, small to midsized projects and the very present and growing mega project landscape. We are positioned to win in the near, medium and long term as we both influence and benefit from the structural advancement and secular outcome for our business and industry. This update should demonstrate once again the strength of our financial performance and the execution of our strategy now in the final year of Sunbelt 3.0. So for these reasons and coming from a position of ongoing strength and positive outlook, we look to the future with confidence in executing on our well-known and understood strategic growth plan, which will strengthen our business for the years to come. And with that, operator, we'll turn it back over to you and open the line for questions.
Operator: [Operator Instructions] Our very first question is coming from Suhasini Varanasi of Goldman Sachs.
Suhasini Varanasi: Just a few for me, please. Given what you reported in 1Q, how should we think about the sale of used equipment for the year? Was it just brought forward and the overall year's expectations is unchanged? Or is it going up? And therefore, what should be the implication for EBITDA margins? The second one, if you think about the U.K. market and the change in the guidance given the slowdown there, can you help us understand your plans to protect margins and the return on investment? And the third one is on Canada, please. What is the assumption on the time line of strikes ending within your guidance for the year? And what is the sensitivity as opposed to your guidance if it extends for an extra quarter?
Brendan Horgan: Sure. First of all, sales of used equipment, as you asked. I think, in short, we're just running the business. So we have over $1.6 billion of rental fleet to dispose of in the fiscal year, given, if you will, a bit more normalizing of fleet landings meaning the predictability of when our OEMs say it's going to come, and it's coming along those lines, just gives us the ability to run the business. So yes, we disposed off a bit more than if you just even it out, but not really much more so than what we would have had in our plan. We landed a bit more fleet. You'll remember at our full year results, we landed $100 million extra in April that would have otherwise come in May, and we landed about $50 million more in the quarter. So it just gave us that utilization flexibility to be able to dispose of what we did in the quarter. The markets still remain incredibly strong from a secondhand value standpoint. But no, we're not changing at all the overall quantity of fleet that we're looking to sell. In terms of your question about the U.K. market, our plans to protect margins. I mean, that's also running the business. If revenues are a bit less, I probably have to reiterate, albeit, we've guided down, we're still guiding to grow the U.K. business 6% to 9% in the year. You would have heard in my prepared remarks, I talked about rental rates. The best way to protect margins in our U.K. business is to increase rental rates, but let's put all this in perspective. We guide down the U.K. a bit. It's a bit like us saying Kansas City in the U.S. market has been off in the grand scheme of how it affects the overall group. So let's make sure we keep that in context, so to speak. As it relates to Film and TV, what's in our guidance? We're sort of a full anticipation of an end in the fall or autumn -- anticipation of the end of strikes. And if that doesn't happen, obviously, we'll have to reassess what impact that may have at the half year and also just what the rest of the business is doing. So if it's going to be -- if the Film and TV is going to be a bit weaker than we would anticipate at the moment, does the rest of the business make up for that or not? It's just really too early to say, and we will touch on that in December. I hope that answered your questions.
Operator: Our next question is coming from Mr. Rob Wertheimer of Melius Research.
Rob Wertheimer: So my question is basically on margins and investment in technology. I think, Brendan, you kind of moved through Slide 19 pretty fast. I think you have us moving to pilot on a new digital strategy or new digital platform. You mentioned elsewhere, there's a couple of years of investment you've made in the infrastructure of the business. So I wonder if you have any comments on what that technology investment has been and what capabilities are you adding, what the pilot looks like? And then has that been a material drag over the last couple of years or a material increase in investment as FX margin?
Brendan Horgan: Yes. Well, first, very good morning, early morning to you, Rob. Yes, we have invested quite heavily to the tune of about $0.25 billion over the course of Sunbelt 3.0. And as we would have stated in the very beginning, you'll recall back when we would have launched, we would have put in place a couple of new systems that we've really been leveraging throughout 3.0. One, of course, being pricing dynamics, which I think we've seen that pay dividends and that other that you would have heard us talk about in KRONOS, which is really an order capture engine. So in this technology buildout that we're doing of the ecosystem, we have five primary domains, if you will, that are real step changes to the ecosystem that we have. And we're very, very early in these pilots and the primary areas, if you will, in terms of moving the needle. Because if I just go through the five domains quickly: it is logistics, service, sales, connected and what we call frontline, so that frontline interaction with the customer in person or connected. And when you look at some of those like logistics, being such a big opportunity for us, we always talk about delivery cost recovery. So not only is it an opportunity there and you're talking about a pretty big number if we were able to get to above 100% recovery in our business, and I think you're familiar with that roundabout, but also just the increased ability to improve order capture by creating better availability from our products. So I appreciate that as a cliff notes version. I can promise you that you're going to see real detail in that in April when we have not only launched these technology domains, but we will also be showing it off to our team and the investment community at the same time on the 29th and 30th of April in Atlanta.
Rob Wertheimer: Perfect. That will be fascinating. And then one other question just on mega projects. Any commentary on win rate? Any commentary on where those projects are using technology or pushing technology or competitive advantage there? And I will stop there.
Brendan Horgan: Yes. Well, I mean, our win rate is, let's just say, at least what we've said in terms of 2x our market share in general. Funny you asked that question. We'll get into a bit more detail on that at the half year when we have the appropriate amount of time, if you will, to explore that a bit deeper. But as I would have said, we are winning well and fully expect that to continue. But your point around technology is a wildly important one. Yes, technology is being deployed, whether it be something as straightforward perhaps it may seem with one of these large on-sites that requires telematics. Our customers literally come to our site on the project. They hop in a telehandler. They're badges that they were to get on the site, have an RFID chip inside of it. So of course, we know who the customer is. That customer drives the said telehandler from our yard to the part of the project in which they're working. It immediately goes on rent. And then the opposite happens when they return it. Significant technology when it comes to reporting to our customers, some things as simple as actual use or time utilization of the assets, but increasingly so, what our customers are looking for is a better gauge and measure of their greenhouse gas emissions or fuel burn on these sites. And of course, that technology leads to our product solutions that we're bringing to these sites. And one of the big areas of attention from our customer standpoint and our customers' customer in all actuality is the fuel burn relating to power generation. So part of our technology is connecting our diesel units and augmenting those with BESS battery electric storage systems that significantly reduce fuel burn, produce savings on the project, not just in dollars but also in emissions. So technology is -- frankly, it's table stakes for these larger projects that will lean to one or two primary suppliers on site.
Operator: We'll now move to Will Kirkness of Societe Generale. Please go ahead, sir.
Will Kirkness: I've got three questions, please. Firstly, could you help a bit more with rates? I think you've got 3 percentage points embedded already. I just wondered how you're tracking. I think you're targeting 5%. That sounds like you might be a bit ahead. So I wonder if you could just maybe give us a number there. Secondly, on CapEx, I think you're tracking slightly ahead of the guidance, but I guess that's what you'd expect in Q1. So again, any view on that would be helpful. And then lastly, sort of following on from Rob's question, I think 4Q, you said 32,000 projects and a win rate of one in three. So that sounds -- one in three sounds consistent, but any update on that project number? Or the other way around, if you could talk about how the 501 mega projects or the $60 billion, I think you said, how that translates to maybe what you were seeing three months, six months ago?
Brendan Horgan: Sure. Well, from a rate standpoint, yes, we had actually in our guide would have been more like five for the full year. So certainly, in Q1, without quoting specifics, we're ahead of that because you've got to be ahead of that given the trajectory, if you will, from a comp rate standpoint, but we sit here today remarkably confident that we will deliver that full year five plus. CapEx wise, yes, we landed just a touch more than we had planned, if you will. But nonetheless, we're not changing that full year guidance at all. We have great visibility to the products that are heading our way. And as we always do, as I've said a couple of times now, just running the business, and making sure that we get the right product in the right place where the demand is the highest. And certainly, increasingly, which leads me to the mega project piece, that fluidity of fleet heading in our direction generally and then pointing that towards these mega projects when we do have those wins. And again, rather than getting into the detail, which I will promise you for our half year results in December where we show you sort of how we quantify our success in these mega projects, basically ranging throughout four categories. Number one is being the preferred and basically exclusive on-site provider that would mean we would have three quarters or more and then kind of going down from there all the way to where we're not winning one of these projects, but we'll go through that in detail in December.
Operator: We now go to Lush Mahendrarajah of JP Morgan.
Lush Mahendrarajah: The first one is just looking at Slide 16 where you've plotted those mega projects. I'm clear you've already got quite a good footprint there. But is there sort of any, just based on that map, any obvious gap you think in terms of where you'll be investing in terms of greenfield over the next couple of years to benefit from some of those trends?
Brendan Horgan: Yes, I mean, I think these mega projects in general, there's two things to understand. There is the project construction itself, and that's not really about building the greenfields or opening the greenfields, that is a combination of on site, depending on the overall size and makeup project or servicing in that project in some way, shape or form with the fleet and services from the market in which it is in. And then the second piece really is -- and that's what you have to appreciate with this sort of, let's say, transformative landscape that we're going through in the U.S. right now. As these large manufacturers or other examples that you see there on Slide 16, come into a town, you have a few follow-on things that come. You'll have the supply chain oftentimes coming into the same post code, if you will, and then you'll have all of the further build out that follows. So whether that be the infrastructure build-out or it be the housing build-out and then all of the rest that over time would follow that. So those are certainly high on our priority list when we see those sort of things happening that we will follow over time with greenfields. But rest assured, when we look at the landscape of mega projects that we show you here, and as I said, there are 501 of them, there are many more to come on that map. We only showed you what will come between now and April 2024. But those are part of our algorithm, if you will, or what we take into account as we are planning our greenfield expansion.
Lush Mahendrarajah: Okay. And just as a quick follow-on to that one. Can I just double check what percentage of revenue is mega projects currently?
Michael Pratt: Whilst we -- I suppose if we take construction is about 40%, 45% of our business. Then it's -- we would say our share is 20 -- if you double our market share of like 13%, then you sort of get into sort of mid-20s on mega projects. So you get down into the teens in terms of the proportion of the overall business.
Lush Mahendrarajah: Okay. And then the next question is just on the Film and TV strikes. Just how big is that business as a portion of Canada? And am I right in thinking to your point that a lot of that equipment can't be used elsewhere? And is that the same in the U.S.? Or is the equipment that we serve in TV in the U.S., can that be used in other end markets?
Brendan Horgan: Yes, we don't have a Film and TV business presently in the U.S. like the film and TV business in Canada, a.k.a., the William F. White business. That's lighting, grip, lens, et cetera. Our plan is ultimately to expand that into the States. We do have some markets in the U.S., take, for instance, New York City, that for a long, long time, we have serviced various sets and on-site shoots with area work platform generators, light towers, et cetera. So there is a small effect there. It's less than 2% of our North America revenues in total. It's about 20% or 20 couple percent of...
Michael Pratt: Kind of -- last year, was around quarter of Canada...
Brendan Horgan: Last year, 25%. Clearly, this year, a lot less than that in Canada, but that gives you sort of a feel for overall impact.
Lush Mahendrarajah: Okay. And just the last one on U.K. rental rates, I think you said it was running below inflation. Can I just get an idea of what some of your competitors are doing? And I guess, how confident you are in sort of pushing that further into the year?
Brendan Horgan: Well, I can tell you this, I'm remarkably confident because we will just do it. If the consequence is to have a smaller but more profitable U.K. business, that's what we'll have. I don't think that, that's what will happen. I think the others will follow. They don't talk much about or report on rental rates. I don't really, again, bother too much about what they price. I just know what we invest in new fleet every single year in the U.K. market, is hands down different than what anyone else does. And we're bringing a level of service that is going to increasingly require rate progress. So I think you'll see the discipline beginning with us in the U.K. and I suppose others could choose to follow or not. But where we are, we bear hug our customers. We take incredible care of them. We provide services that others just can't do. I mean, look at the testing sites. And there are some other opportunities out there like that, that we see on the horizon. But that's why I said mandate not sort of, we'll wait and see what the market does. Again, I'll reiterate, I am remarkably confident that we will see strong rental rate growth, not just throughout the rest of this year, gaining momentum but going into future years.
Operator: We'll now move to Neil Tyler of Redburn Atlantic.
Neil Tyler: I'd like to just follow up, come back to the topic of the mega projects, please. I wonder if you can offer a perspective on how much of the $650 billion you think has been borne directly from the legislative acts and how much might have been a precursor to those? And then the other question was related to that. Does the weight of mega project investment that you've framed imply that where you would normally see a sort of the residual underlying non-resi market is already sort of softening in a sort of typical cyclical fashion, if that makes sense, my question?
Brendan Horgan: Yes. The mega projects, it's why we're emphasizing so much because I think in different parts, if you will, particularly in the U.K., it's sort of viewed that these mega projects are a direct consequence of the federal Acts. And in part, that is true, but think of it more as a spark, if you will, than the full funding. It's less than 50% by far. Actually, Michael is looking at it right now. It's probably more, I should know that. It is a relatively small part of the overall sea of mega projects. Most of this is going to be private sector. The thing to understand like if you take, for instance, semiconductors. So that would be related to the Chips and Science Act. And the actual semiconductors that are -- the majority of the semiconductor fabs that are going on today would have started before that act had even found paper. So this was a direction of travel either way. When it comes to manufacturing, if you look at things like LNG and other sorts of manufacturing, that would have been underway for quite some time as well. So they are sort of adding to that direction of travel, which was already the big turnaround from globalization to deglobalization. But when you peruse the list, which literally Michael has in front of him right now, the 501, the range of types of projects. If you take, for instance -- if you look at the smaller end of the mega projects of that $400 million, you have a convention center in Louisville, Kentucky. That doesn't have anything to do with the stimulus. However, there's a solar project in Texas. Everyone thinks Texas is largely oil, but actually it's very, very large with solar. And the reason why I point that out is solar farms were being built in Texas long before these legislative acts. But they still help. Another example of one of the smaller projects on this list of 501 is a data center in Arizona, which just broke ground. So again, that is private sector investment. Then you look at some of the others like -- there's a $17 billion project, which is the Hudson River tunnel, and you're going to have some degree of stimulus in there. And then you have another really large one, which is the fab 2 for the TSMC semiconductor plant in Arizona that -- it's yet to be seen, frankly, whether or not they'll take the tax credits because there are some strings attached to taking those. So I think the way to look at it is, it is a healthy mix of really big dollop of private sector investment supported by -- and if you will, encouraged by the legislative acts.
Michael Pratt: Yes. If you look at purely by number, the majority of the projects will be private as opposed to through the legislative act. Because certainly, if you take the first one, the IIJA, then actually, a lot of those projects are smaller type projects. That money is just filtering through a small type project. Brendan has talked about the Chips and Science Act, which whether people take it or not, but a lot of it are starting from private sector, and then the IRA act is really only just getting going.
Brendan Horgan: Yes, I was going to say the second part of your question. I think it's -- it's not so much. I think characterizing non-res construction as sort of deteriorating beneath all of these is just not the way to look at it. As I would have said again in the prepared statements and we've been saying consistently, it's actually been several years of just a changing construction landscape. And you look at things like, for instance, if we look at just starts dollars and you look at it over the course of 20 years, and you look at something like -- you take warehouse, right? So warehouses for years and years would have ranged from about $3 billion to $10 billion in starts whereas today, warehouses range between $50 billion and $60 billion of starts, which are still -- they're not -- they're not still healthy, they are increasingly so healthy, and that would be a big, big change. Manufacturing in general, again, you would have ranged sort of for between, say, 2000 and 2010 in the $10 billion, $7 billion sort of neighborhood. Well, today, you're getting 30s and even last year, $100 billion. And if you look at things like, for instance, if you look at -- let's look at it from a square footage standpoint, which I think puts it in perspective and how much it changed. Let's compare again stores, retail, think of it that way, shopping malls, strip malls, et cetera, in square footage terms. Once upon a time, like for decades and decades, stores and warehouses would have had about the same starts of about 300 million square feet every year. Today, stores have 60 million, 70 million, 50 million square footage of starts every year, whereas warehouses have 600 million or 700 million square feet. So really, what's happened is it's just been this sea of change for a number of years, and that's the other reason why you see this decoupling between resi growth leading to non-resi up or down or resi down leading to non-resi down. The correlation to the bits that it affects today are just a smaller and smaller part of the overall construction landscape. I hope that helps.
Neil Tyler: Yes, that's very helpful. And then the last question on sort of asset utilization. It feels as if -- now that time utilization rates are normalizing, there's probably another -- year-on-year, there's probably another quarter or so of that process to take effect. But thereafter, should we think about OEC fleet growth as really a decent predictor of revenue growth. Obviously, rate aside before we start to think about rate, there shouldn't be a further time utilization effect into the next calendar year and beyond?
Brendan Horgan: You get closer to that as time goes by, but I can't resist to add this to that question. One must begin to decouple time utilization with rental rate stance and rental rate progression. So those who are believers of that and Neil, I apologize for maybe not looking close enough in terms of what your views might be. One must learn over time that those are decoupled. But yes, over time, you will see that being closer as it would have been a bit more historically, depending on, again, what the rate environment is and the rate environment is going to be far more driven by way of what we're seeing in overall inflation, what we're seeing in wage inflation, what we're seeing in product inflation, et cetera.
Operator: We'll now move to Arnaud Lehmann of Bank of America.
Arnaud Lehmann: Three questions, if I may. And staying on the topic of decoupling. You're still talking up on rental rates. We can still see some pressure on prices in the secondary market. So can you help us understand if the correlation between secondary prices and your own rates can be sustainable over time? Secondly, I was just looking at Slide 14, which is the U.S. construction outlook, and I appreciate this is probably a third-party forecast. But when you look at the rental market growth, it's kind of low to mid-single digits and looks like it's predicted to underperform the construction market. Do you think that's the forecast being too cautious? Or is there a fundamental reason to believe that the rental market would be not growing as much as the construction market? That's my second question. And lastly, just maybe a word on U.S. housing. We've seen a lot of signs of improvement. It wasn't really a big pressure point for you on the way down. So do we need to care about the U.S. housing recovery?
Brendan Horgan: Yes. There's been a lot of talk, obviously, about secondhand values. I will reiterate that secondhand values of used rental equipment is strong. It remains strong. You'll go through the course of time and you'll have it a bit higher at a certain point in the year, perhaps a bit lower at a certain point in the year. But I think the fundamental miss maybe or disconnect overall when we look at the -- let's just look at it as a percentage of original equipment cost. And what we're seeing today, of course, is, I mean, the primary driver, of course, there will always be supply and demand. But the real primary driver for the basis of what a used asset cost is what does a new asset cost. So when you think about that correlation, certainly, over time, it's almost preparing for the inevitable four years, three years, five years sort of time horizon when we start to actually get assets that we're selling that do have today's inflationary effect on them, I think there you'll find a lower percentage of OEC percent, perhaps than what we're seeing today. But again, it's a bit like what we would have said earlier in terms of its effect on rental rates. Let's decouple that as it relates to our ability as a -- as we continue to structurally progress in this industry and discipline is significantly more so, that will not have the same sort of relationship to rental rates. Hopefully, that comes across clear. Yes, your point on Slide 14, we've said it all the time, that is not our forecast. That is S&P, who American Rental Association works with, and they are notoriously wrong and then they adjust it up as time goes by. So for instance, in 2023, where they have the 11%, or 2022, where they have the 14%, those numbers were much lower than that previously. They are quite good at forecasting once the time has gone by. I would categorize it that way. And in terms of U.S. housing, what do we look at. Frankly, I think we've called housing quite right over this period of time. Fundamentally, we know that there aren't enough homes and it's been quite resilient, surprisingly for many out there when it comes to single and multifamily. But certainly, it's not something that we will look at that will have any sort of contagion, so to speak. Obviously, multifamily is a part of that overall housing that is more so rental, if you will, and the rest will have a bit of work around infrastructure, et cetera, that goes into it. But when you just look at it from a unit standpoint, we're certainly seeing this forecasted levels coming down, of course, in the current year, but then going up thereafter. It seems to be signs on the ground that, that is the case. But multifamily, I would say it this way. It really was staying around the levels of prepandemic for quite some time. And one of the outputs, if you will, higher mortgage rates does lead to a bit more from a multifamily standpoint. So that actually looks reasonably healthy right now.
Operator: We'll now move to James Rose of Barclays.
James Rose: I've got two left, please. Firstly, could you give us an idea of current trading through August, perhaps? And then secondly, on Canada, I mean, the guidance is unchanged despite quite a sizable drag from the TV and Film business. Could you maybe talk through the offset there? And also just touching on Canada. I mean maybe what's the market share you have in Canada? And if you think about coverage, range of fleet, clusters, specialty, et cetera, et cetera. Like, how far progressed is the Canadian business versus what we know in the U.S.?
Brendan Horgan: James, you broke up a bit there, so I'll do my best. If I miss anything, just to circle back, and I'll go backwards on your line of questions. In Canada, our market share is about 10%. And if you look at the overall mix of the business, we have -- it's not going to be as large specialty because we're in the early stages of the development of that specialty business, but with an absolute plan and clear momentum as we grow the specialty business and work on the cross-selling aspect. And that goes in nicely actually, to your second question in terms of what's offsetting the absence of the Film and TV business today. And that's that power and HVAC acquisition we would have done, Loue Froid based out of Quebec, but with four locations across Canada. And that integration and then subsequent growing of what was a smaller power and HVAC business than Loue Froid for us incumbently if you will, in Canada has gone really, really well. It's outperforming what our expectations and our pro formas were which, of course, is always nice. And then finally, your question on August and August was plus 15% on a billings per day basis. So again, in line with what we've been sort of talking about.
Operator: We'll now move to Allen Wells of Jefferies.
Allen Wells: Most of my questions, I think, have been asked now. Just -- I guess, just following for James' question on the August date. Am I right in thinking that just the shape of the quarter, bearing in mind, you said August was 15%, the shape of the quarter is a slight decline? So it started a bit stronger up 17% in the fourth quarter, 15% in August. So we're just seeing a general slight slowing there, which, I guess, is understandable. That's the first question, just to check that. The second question is just on the M&A. Obviously, the M&A spend is still pretty healthy, I think, in Q1. Maybe just talk a little bit about the pipeline there as well just in terms of what that looks like. Is there more stuff becoming available? Or is it still tight out there? Just any commentary there would be great.
Brendan Horgan: I'll take your second and turn over the first to Michael. But M&A, the pipeline remains healthy. And when you look at the -- when you look at it in total, of course, the total amount invested in the quarter across the nine deals, it gives you the sense that it's sort of 40 or whatever that works out to million on average. But if you take out the largest, which would have been Loue Froid, you're at about 20 couple million on average for these bolt-ons. So they're quite small bolt-ons. Most of them are what we call shoulder taps. So most are not engaged with the broker. It's our ground game that's out there. Individuals whose full-time job in essence, it is to meet and get to know business owners. And that landscape remains remarkably strong. There is a big, big list of independent rental companies throughout the geographies that we serve, and we continue to work that pipeline.
Michael Pratt: Yes. On rental revenue growth, what we saw was -- is basically what we expected in terms of we'd expect Q1 to be a lower growth rate than Q4, just given the comps that we were dealing with. If you look at Slide 13, actually, on a billings per day basis, Q1 was 15% and August was 15%. So they're broadly in line with one another as we have a range of 13% to 16%, and we'll be somewhere in that range. So we were expecting to be lower than Q4 last year.
Operator: Our next question is coming from Annelies Vermeulen of Morgan Stanley.
Annelies Vermeulena: Brendan, Michael, I just have two, please. So firstly, on -- with regard to your mega projects map, you said earlier, Brendan, that clearly we can expect to see more projects being added that will start beyond April 24. I'm just wondering how much visibility you have beyond that. I don't know if you have a sense of how much of the funding from the legislative act has been allocated already? And how much is still to come. I guess I'm wondering how many more dots could we see on that map in 6 or 12 months' time beyond the $500 million that you've talked to here today? And then secondly, on the -- thinking about your Sunbelt 3.0 target of the stores of one, two, three, four, if I remember correctly, you've clearly now exceeded that. Should we largely disregard that target now? And will it be business as usual in terms of the pace of greenfields and bolt-ons. We shouldn't expect those to slow down despite the fact that you've now hit your target, and we can expect the same pace that we've seen over the last nine quarters. Any thoughts on that?
Brendan Horgan: Sure, Annelies. I'll take the second one first. But yes, it is business as usual as it comes to greenfields and bolt-ons. So our -- we will have a nice pace of those for the full year. We're going to be in the 100 or so neighborhood for greenfields. So we came out of the gate strong. But as you would have seen in the numbers, our pace is to a week from a greenfield opening standpoint and a nice mix there of specialty. It's actually quite specialty rich, particularly in the first quarter, but also some general tool. So you can expect that by the time we're all together in April in Atlanta, we'll be well ahead of the 1,250 or so that we are at today. When it relates to the mega projects and my point of there'll be many more on there, consistent with what we would have updated on in the full year deck, which would have been -- that would have been Slide 19 on the mega projects at the time we had and the answer is yes, we are. And if you think about the three buckets of them, you think about infrastructure, Michael already touched on that. That is a broad -- it's thousands and thousands of projects that range from 200,000 to a few that are in the multibillions, but it's really on the smaller project, I'd say, smaller loosely side when compared to some of these others. Chips and Science, we've talked about again, that is acting as a stimulant. But certainly, there will be much, much more built in the semiconductor space than just that, which the Chips and Science Act will satisfy. And then the third one around IRA, most notably the energy aspect of that. That was one that we had seen in terms of the funds flow, if you will, that was going to take a bit longer, and that is indeed the case, but we're seeing that come on right now. But it's also important to understand that. Whether it be the Infrastructure Act or it be IRA, these things have gone through, in many cases, appropriations. So they've gone through Congress. They've gone through the processes required. Those monies are allocated to the states, and we are very much seeing those states sort of spend that. There's a good appendix actually in the full year set of results. I don't even know if we had it in the Q1 or not, that actually illustrates an example of that funding of the IIJA in particular, which was Slide 32 in the full year pack. So I hope that answers your question.
Operator: Mr. Horgan, we do not appear to have any further questions. I'd like to turn the call back over to you for any additional or closing remarks.
Brendan Horgan: Great. Thank you all for taking the time to dial in this morning, and we look forward to giving you an update in December for our half year results. Have a great day.